Operator: Thank you for standing by. This is the conference operator. Welcome to the Trican Well Service Third Quarter Results Conference Call. As a reminder, all participants are in listen only mode and the conference is being recorded. After the presentation there will be an opportunity to ask question. [Operator Instructions] I would now like to turn the meeting over to Brad Fedora, President and Chief Executive Officer. Please go ahead.
Brad Fedora: Thank you very much. Good morning, ladies and gentlemen. I would like to thank you for attending the Trican conference call. With me today is Scott Matson, our CFO; and Todd Thue, our COO. I would like to please refer you to our website www.Tricanwellservice.com, and on that website you will find a disclaimer, that we would like you read in conjunction with this call. First, Scott Matson, our Chief Financial Officer will give an overview with quarterly results, I will then address issues pertaining to current operating conditions and near-term outlook. We would then open the call for questions and the three of us will be available here to answer any question that anybody may have. I would now like to turn the call over to Scott.
Scott Matson: Thanks Brad. So again, just before we begin, I will point out this conference call may contain some Forward-Looking Statements and other information based on current expectations or results for the company. Certain material factors or assumptions that were applied and drawing conclusions or making projections are reflected in the forward-looking information section of our Q3 2021 MD&A. A number of business risks and uncertainties could cause actual results to differ materially from these forward-looking statements, and our financial outlook. Some of these risks and uncertainties may be further amplified due to the ongoing effects of the COVID-19 pandemic. And please refer to our 2021 Annual Information Form and the business risks section of our MD&A for the quarter ended September 30, 2021, for a more complete description of the business risks and uncertainties facing Trican. So during this call will also refer to several common industry terms and use certain non-GAAP measures which are more fully described in our quarterly MD&A. And as Brad noted, our quarterly results were released after the market closed yesterday and are available both on SEDAR and our websites. So we will talk a little bit about the quarter. Most of my comments will draw comparisons to the third quarter of last year. And I will also provide a bit of commentary with respect to our results on a sequential basis as compared to Q2 of 2021. So the quarter started off strong with positive momentum continuing out of a very solid Q2, with a generally positive Q3 with continued strong commodity prices driving improved activity levels across all of our service offerings. Revenue for the quarter was 164.5 million a step change up sequentially from Q2 levels as we moved out of break up and into the back half of the year, and up more than double compared to the 74.1 million we saw in Q3 of last year. WTI averaged just over $70 per barrel during the quarter up sequentially from an average of about $66 a barrel through Q2, and up significantly from an average of around $40 a barrel in Q3 of 2020. AECO gas pricing averaged about 339 per MCF for the quarter, which was also up sequentially from Q2 levels and quite a bit stronger than the $2.14 per MCF we saw this period last year. Continued strength in commodity prices resulted in an average western Canadian rig count of approximately 116 during the quarter, up compared both to Q2 of this year and at the same period of last year. The rig count through October has continued to climb a bit and we do expect it to continue to pace higher as we move through the remainder of this year and into what looks like a very strong winter drilling season. These factors lead to higher activity levels across most of our service lines compared to the same period of last year and as compared to Q1 of this year, sorry, Q2 of this year. Continued stronger activity, ongoing improvements in the efficiency of our operations, and continued focus on profitability, including the structural fixed cost improvements we have implemented over the last 12 to 18-months have led to significant improvements in all key financial categories as compared to Q3 of last year. Fracturing operations were up sequentially from Q2 of 2021 and significantly busier as compared to the same period of last year. Proppant pumped was up at 4% as compared to Q2 of 2021, and nearly triple as compared to last year’s Q3. We maintain six fracture increase throughout the quarter with utilization increasing to 85% for Q3 of 2021, compared to 42% in Q2 of 2021 as we came out of breakup and into a period of much higher activity. Operations continue to be heavily focused on pad based locations, which help to minimize both downtime and travel time between jobs and improves our overall efficiencies. Fracturing margins remained healthy for the quarter, and were a significant factor in the strong financial performance of the company for the third quarter. Our cementing division also had a good third quarter strong activity driven by the overall increase in rig count, with activity skewed toward larger jobs resulting from primary work in the Montney and Deep Basin areas. Coiled Tubing activity was down a bit sequentially. But the utilization was backstopped by a number of core customers. So as expected with continued increasing activity levels, we are seeing inflationary pressures on all sides. Costs for our key inputs such as fuel, cement, chemical and sand have all seen increases in the past few months, and the pressure is constant. Our supply chain group has done a great job in getting ahead of these and managing these trends, but they continue to come out on a daily basis. Our focus remains on controlling costs, and passing along these increases as much as possible to help preserve our margins. Adjusted EBITDA came in at 31.2 million a significant improvement over Q3 of 2020. And just over double our EBITDA from Q2 of 2021. It is important to note that our adjusted EBITDA calculation does not add back cash settled stock comp expense, which was $1.1 million for the quarter. This expense fluctuates along with the movement in the Company’s share price, which saw an appreciation of just under 11% over the term of the quarter. It also includes expenditures related to fluid and replacements which totaled $2.3 million during the quarter, and were expensed in the period. Also off-note, this quarter contain virtually no contributions from the Canadian emergency wage and rent subsidy programs as compared to the prior two quarters which saw significant contributions from those programs. On a consolidated basis, we generated profits from continuing operations of just over nine million in the quarter or $0.04 a share and we are very pleased to show positive earnings on a year-to-date basis. We generated cash flows from operations of about 8.8 million for the quarter following strong operational performance, but did see an expected increase in working capital through the quarter as our activity levels increased. Capital expenditures amounted to 10.6 million, which was split between our capitalized maintenance and our ongoing capital projects. Company’s full-year 2021 capital budget remains at 58 million, with approximately 20 million of that allocated to maintenance and infrastructure capital requirements, and 38 million allocated to growth capital. The growth capital amount is primarily related to our previously announced program to upgrade conventionally powered diesel pumpers with CAT Tier 4 Dynamic Gas Blending engines. These engines can displace up to 85% of the diesel fuel required with cleaner burning natural gas, thereby reducing carbon dioxide and particulate matter emissions. These upgrades are a key part of Trican’s overall ESG strategy and are a prime way of supporting our customers in meeting their individual ESG goals as well. We exited the quarter with 37.6 million in cash and cash equivalents on hand positive non-cash working capital of 66.5 million and no drawn bank debt. Finally, with respect to our normal course issuer bid program, we were quite active in the market during the third quarter and repurchased and canceled just over seven million shares, at an average price of about 260 a share. And we continue to view share repurchases as a good long-term investment opportunity for a portion of our capital in the context of returning capital to our shareholders. So with that, I will turn things back over to Brad who will walk us through his views on operating conditions and a bit of our strategic outlook.
Brad Fedora: Okay, thanks, Scott. I’m going to make some general commentary and I will try to keep my comments as short as possible, but to give you a bit of a flavor of the marketplace that we are working in today. Q3 was a really strong quarter, in the context of what is happening out there. We started very strong in July, and we were very active with a core group of customers. We were on large pads that enabled us to work efficiently through most of the quarter. The quarter began with about 140 rigs running, and we average just under 160 rigs for the quarter, peaked at about 172 at the end of September. And we are currently back down to about 165 rigs and we seem to be sort of maintaining that level now for the last month or so. And just in general, when you think about the rig count and frac demand, I mean, generally what you want to do is deduct the heavy oil rigs from the rig count and then divide the remaining number by about five. And so there is roughly five conventional rigs per frac crew. And so that gets us to, to about 26, 27 crews today, which in fact what we have. So the market is generally quite balanced. We maintain really good market share in our Cementing Group, roughly 35% to 40% of the market. And our cementing is very much focused in the deep basin in the Montney and both BC and Alberta. COVID did have an impact on the quarter. Even though it was a good quarter, we actually had expected it to be better. We had rigs down in the second half of the quarter, starting in sort of late August, and throughout September, there was definitely reduced activity levels just due to the sort of the COVID case, the case spike that Alberta experienced that took rigs down and of course, that means there is less demand for frac crews. We did have our own COVID issues in the field that made some of our operations slightly less efficient. Although, we do have enough staff that we can respond very quickly to any issues that we may encounter and the delays in our operations are - they are extremely short lived. But even the delay to the office by the office staff in Calgary, we did think actually impacted the quarter. Throughout the quarter, we pumped about 480,000 tons of sand, 277,000 of those were internally sourced, meaning that the customer supplied the rest. In general, that is not really a negative, certainly isn’t the positive trends. We do typically charge corkage for customer supplied sand, but we do want to keep an eye on that. And we want to make sure that we don’t reduce our opportunities to make a profit. And so we generally try to gravitate towards customers that allow us to provide sand and chemicals. About 60% of the profit that was pumped in Canada was Ottawa White, versus the domestic source sand and Ottawa White is almost invariably comes from the U.S. We continue to see increases in the tongue of sand pumped per well, as customers remain focused on these resource plays, and placing more sand on a per meter basis to get as much gas flow as possible, and we get asked a lot, what inning are we in with respect to sand tonnage for well? And the answer is, we really don’t know but we do think we are sort of in the seventh, eighth or ninth inning of how much sand goes into a well and what we are seeing now is, there is still - everybody’s still gravitating towards the standard, tried and true methods, but there is a little bit of experimentation with respect to less or more sand on a per well basis, or just even the spacing. So it is always very difficult to tell you what inning we are in which respect, but it is in general, it is a positive trend and generally means more revenue per well for us. Our areas of focus have not changed, we are very focused in the BC and Alberta, Montney and the Deep Basin, we are we are active throughout the basin but certainly 80 plus percent of our revenues would come from the Deep Basin and the Montney play in general. And even though commodity prices or gas prices have really spiked, obviously, so as oil and so activity has picked up in all areas of the basin, but we remain focused with the Montney in the Deep Basin. From a crude perspective, nothing has changed, we ran with six frac crews throughout the quarter about 17 cement crews, and about six oil crews and in fact, we still sit there today. On the pricing side, we have been really vocal about the need for price increases since early spring. I think it was year-end 2020 and after Q1 of 2021, I was quite vocal about the need for price increases. And generally regrettably I would say achieving those price increases were much harder than we expected. We just did not get any support from our competitors. We are still even to this day seeing some stink bids that would absolutely shock you. In the context of what is happening. EMP cash flows are at record highs. So our strategy hasn’t changed with respect to moving prices up. We are just trying to run a sustainable business. And I think actually the customers appreciate the need for a price increase more than our competitors do. Because they know we are not gouging them, we are just trying to run a sustainable business. But you know, definitely prices need to go higher. Fortunately, we didn’t necessarily get the price increases we did - we were looking for but we did get them. So we did offsets - more than offset inflation and the customers were very receptive to us passing on any inflationary cost increases that we were experiencing. Late in the quarter we did talk about price increases again and we have had price increases recently in all of our service lines, particularly fracturing in cement as we are basically operating at full capacity as an industry. We expect inflationary costs to continue that is certainly not going away. And we will stay diligent on sort of informing our customers about those costs, and making sure that we can recover those costs to avoid any kind of margin erosion. On the cost side, I’m happy to report that we have kept our G&A and our fixed costs constant, even reduced them in certain areas. So as the activity in the revenues have gone up, we are diligent about making sure we keep our costs down. We have implemented lots of initiatives throughout the company over the last few years. And we are continuously looking for new ways to manage our company more efficiently. And what this means is as obviously, as costs stay constant as revenues going up, that that ratio gets better and that is what operating leverage is. And that is the great thing about the pressure pumping business in an off cycle, it is fairly exciting and there is lots of operating leverage. Because we kept our cost constant and increasing market, we did have good EBITDA and free cash flow in the quarter, and I really want to focus - I want to try to focus the conversation around free cash flow just given the age of the fleet, whether it is in Canada, the U.S. doesn’t matter. But just given the ages of fleet, I mean, the maintenance, whether it is expense are capitalized, or doesn’t matter how you treat G&A, whether it is on the income statement, or it is in the divisions. I want to make sure that, we talk less about EBITDA and more about free cash flow, because of course, that is all that matters. And free cash flow sort of catches everything. And so I think we need to sort of get away from focusing on EBITDA and talk more about free cash flow, just to account for all the differences and how people how people treat maintenance and G&A. Now on the supply chain side, I mean, it is certainly an area of concern. It has been a major issue in managing our business throughout these higher activity levels. We have done a very - our group - I would like to thank our group continuously, because they have done a fantastic job of managing our supply chain and making sure that we have products on a timely basis at good prices. But the entire supply chain industry wide whether it is parts, chemicals, sand doesn’t matter. It is all starting to feel stress and as we know, they are better at passing on price increases, and we are. So we are actively working with our suppliers to ensure that we not only have good prices, and we have long-term relationships, making sure we actually have the products when they are needed. As expected we had inflation across the entire supply chain in the last sort of six months especially. Although I have to say the inflation was less than we expected things like diesel obviously floats with oil price, but third-party trucking and logistics. The demand for those goods and services are much higher than the supply. On the sand side Tier 1 sand suppliers out of the U.S. are basically operating at capacity, because it is not just what the mind can produce, but it is how much of that sand he put in a railcar. There is only so many railcars available, so many rail lines operating in Canada and so that system feels fairly stressed. And the increase and volumes that we are pumping is putting a strain on our logistics and we have now sort of - we have had to focus on making sure that we have access to trainload facilities, particularly in Northeast BC. But again our supply chain group has done a fantastic job at making sure that this has been genuinely seamless through what has been a very sort of stress inflationary environment. On the chemical side, we have all seen what has happened to shipping costs and container availability. A lot of the core - the core chemicals that make up the fluids that we - or the fluid systems that we sell, they do come from China and U.S. And so we have anticipated the delays that we have actually been experiencing. And we are always looking for substitutions and working with our suppliers to make sure that we have the supply that we need at a reasonable price and again, I think we have done a really good job of that. On the cement side, we experienced lots of cementing product issues, but the summer construction season is over now, so we should be good for the winter. And even things like hotel costs just due to COVID, with the labor shortages that we are experiencing, in the hospitality sector, everything has been affected and it just all that happens is you have to make sure you are doing a much better job at managing that. And the companies that manage it well will be rewarded. So the outlook for the rest of the year and into 2022, I mean, we have fairly good visibility, I would say until break up and, and our schedule is very busy until breakup. E&P cash flows are at near at all time highs almost. And their wells that they are drilling are paying off and in a matter of months, not a matter of years, and that is a good thing. We certainly need our customers to make money so that the industry can be healthy. And as a result, we have had a really good start to Q4 October is very busy. We should be busy right up until Christmas, December is always a bit of a - it is unpredictable, just because you have winter weather and it is hard to know when the season will shut down around Christmas. But, the indications we are getting from customers is that, we are going to start up immediately after Christmas and by the time Q1 starts, we should be running almost full blast. So, we are looking forward to a good Q4 and a really good Q1. The basin in our - certainly our service remains very focused on sort of gas plays. Both obviously, gas prices and condensate prices are extremely high and so we are seeing lots of activity there. But even the oil plays at these levels are very attractive. And so, the whole basin is busy and it is really stressing the system, which generally is a good thing. The rig count has stayed steady, we think it will stay steady for the rest of the quarter and it will obviously slow down for Christmas, but we expect that it is going to immediately pick up. Regardless of what you are hearing, we do expect that 2022 will be a busier year than 2021. I mean, how much is very customer dependent. But certainly our customers are signaling to access to expect busier activity levels. And that is a great thing is, as I was saying, we are basically off - there is 27 factories and basin. And all of those are being used today. And so any increases in activity levels, which we are expecting, starting early in Q1 will require more frac crews on the road. And that is going to stress the system that will drive prices higher, no matter what, our customers are obviously very focused on returning capital to shareholders, but certainly at these commodity price levels, they are going to be busier for next year and that is going to be good for both activity and for pricing. Because of all of that we are expecting price increase in early Q1, both just to offset inflation and to return our business to some sort of reasonable sustainable level so that we are able to actually generate earnings and reinvest in our equipment and as I have discussed before, the frac fleet in Canada is old. The most recent frac fleet delivered to Canada was the spring of 2016. And so, the equipment has been used hard, pumping times are long. It wasn’t that long ago when pumping times were sort of 14, 15 hours a day, and now they are almost expected to be 20 to 23 hours a day. So the equipment has been used hard, which means it is going to need a lot of capital reinvestment to keep the equipment that is running today continuing to run. And if we want to pull equipment off the fence, it is going to take time and money to make that equipment useful in the field. So, because of all of this, we are expecting a price increase in Q1 and certainly we will be at the very least passing on any inflationary costs that we get. From a crew size perspective, like I say, we kept our crews pretty constant and we will keep them constant for the remaining of the year at six frac crews in particular. We are always monitoring this. But I’m going to use this opportunity to talk about the people issues that we are experiencing. The people will be the biggest bottleneck for crew activations for the next year, minimum. And it is different at this time. You have never seen this kind of market, where the number of people wanting to work in the oil patch and the demand for those people, they have completely separated. And certainly we expect us to loosen up when, some of these government programs are shutdown and just the travel restrictions are lucid with respect to COVID. But literally every company in the oil field services space is looking to add people at the same time so are the safe ways and Walmart and hotels and restaurants. So, we really need the government to shut these subsidies down to get people back to work, because oil patch pays very well. And so, once we get people wanting to go back to work, we can start recruiting across the country, and we will attract people back to this industry. But it will be tough. And we expected, this is probably a permanent change, in a way we do our business. Now we don’t take for granted that we can just hire people when we need them. What we found, we have been actively trying to hire now since Q2, and it has been a lot harder than we expected. We have been fortunate. We have hired - we are up over 130 people on a net basis, but we still have more to go. And, as I’m going to talk about a bit in order to bring more equipment into the field, we do need more people and that is a challenge. And what that means is, when you are planning sort of equipment reactivations, whether it is parts or people, that cycle of bringing equipment off the fence is certainly going to be longer this time than it has in the past and it will be measured in terms of months, not weeks by no means. It is probably a good point for me to talk about the Basin in general, when we talk about increasing activity levels. The market is sort of perfectly balanced from a supply and demand perspective today, and we expect that balance to get out of lack here in 2022. There is about 1.8 million horsepower operating available in Canada. We are operating about 1.2 million. But I want to stress that the 600,000 extra horsepower or idle capacity that exists today, Trican owns about half of it. And so, when we think about upside in the fracturing or pressure pumping space, basically half of that upside is going to come to our Company just purely from an equipment perspective. So, we are really excited about 2022 and 2023. We think we are extremely well positioned to capitalize on any incremental growth and activity in the space. On the technology and ESG side, we are always looking at technology advances within our industry, particularly the digitization of data and that data collections that we can use to be more efficient and how we operate our assets. We will be focused on this over the next few years, particularly in the AI space, to reduce our maintenance costs. Maintenance is one of our biggest costs between capitalized and expense maintenance, it is quite substantial. So anything we can do in that space to reduce those costs, or even just reduce the downtime, is extremely helpful. So we will be very focused on the digitization of data in the next few years. We very recently released our inaugural 2020 sustainability reports. That report can be found on our website, it has been very well received. It is a start and certainly not where we are ending up with, we just hired a permanent ESG person to really hurt the caps within our Company and take on strategic initiatives in the ESG space. And in general, our industry has done a very good job of ESG over the years. But we need to use the sort of investor and public demand for more focus on the ESG as a platform to showcase all the things that we have done and to sort of measure and publish what we have done and get those out into the public. Because we really have sold ourselves short as an industry in the ESG space over the last five or 10-years. And so, I think this sort of focus on ESG is a good thing, not just for us, but for our industry. And we are really - I think we are taking a lead on that. And we are allocating resources internally to make sure that we get this right and hopefully becomes a competitive advantage for us. We have obviously a very healthy balance sheet, no doubt, we have a cash balance. And so we have the flexibility to look at anything, and whether it is ESG, technology, et cetera. We are in a very fortunate position to be able to look at anything that if it makes sense from a returns perspective, we will pull the trigger and make those investments. And our customers are very interested in new technologies. And in general, I would say, they understand that some of that technology needs to come with a price premium. So we have had great conversations with our customers over the last six to nine-months, and we will continue to do so. We have done a great job on the environment side with reducing emissions, particularly with a new Tier 4 pumps, and idle reduction technology and just even our fluid systems to reduce the amount of fresh water that we use. But we have also done a good job on the governance side, and the woman that we have hired, she is going to make sure that we are up our gain on the social side. So, [S] (Ph) component of the ESG and we are going to make that part of the Company’s culture going forward. And that hopefully will distinguish us in the marketplace. So just I’m going to make some comments. So I’m not going to talk about the capitol in detail. We have to take questions on that. But I’m going to talk about the Tier 4 engine upgrades that we have been doing. And so we will be activating the first Tier 4 fracturing fleet in Canada. And that will be coming this November, the pumps are now going into the field as we speak. We are extremely excited about this and proud to be the first company to roll out the low emissions fleet in Canada. We expect that this will be the standard in the next few years. We have had some delays in manufacturing, but nothing significant. And an actual fully functioning spread with 100% DGB engine that we should have in the field operating by November and of course that fleet is going to term lean and so previously we had said that that will be our seventh frac crew. And actually, we have changed our mind on that we are going to stay at six frac crews and we just don’t have the people to put the seventh frac crew on the road right now and so this new Tier 4 gas engine, frac pumps will displace the old Tier 2 diesel equipment that we have been using. And so we are expecting that we are going to get our staff in place to call this a seven spread for sort of January 1. And, certainly we seem to be on schedule for that. And we haven’t had any cost overruns, initial reports from the field on the few pumps that are out there already have been really good. We have been getting great gas substitution, which of course is the idea behind this technology, we get up to 85% diesel displacement which is a big cost savings for the customer and just as importantly, it is helping reducing emissions from diesel and from methane -. So we are very happy with how the equipment has performed to-date. It is important to note that this equipment is priced at a premium. I want to make sure that our shareholders understand that, of course we are not investing 20 plus million upgrade equipment and not expecting a return on that investment. So the customers have been receptive to that. They understand that the cost savings that they are experiencing from a fuel perspective is a positive thing and the emission reductions and positive thing in that we need to share that as well. So we have had lots of great conversations, particularly with term lean on getting this equipment to work. But, we are charging a premium price for this equipment. Manufacturing on the second Tier 4 DGB spread has already started. And it will continue to unfold over Q4 and Q1. And so we will have our second Tier 4 natural gas fleets available probably early Q2 of next year at the latest. And as I said, we expect this technology will become a standard in the next few years. On the M&A side, just very quickly, we remain focused on getting our existing equipment that we own into the field, that is by far the most profitable thing that we can do. And our company is setup to operate a much larger fleet. So anytime we bring the fleet off the fence and put it into the field. All of that field margin in that contribution margin goes straight to our bottom line. So by far that is our best investments, and when we were buying shares back and forth, or even sub book or slightly above, obviously, it was a very attractive investment as well. So on the M&A side, we were always open for the right transactions, and we were always looking. But our focus is differentiating ourselves from an equipment perspective and in getting our idle equipment to work. We are always available to the right deal but, we are trying to do what makes the most financial sense for our investors. I think I will stop the call there. And I will hand the call over to the operator. So thanks for listening, and we will take questions from here.
Operator: Thank you. We will now being the question-and-answer session. [Operator Instructions] Our first question comes from Andrew Bradford of Raymond James. Please go ahead.
Andrew Bradford: Thank you. Good morning guys. Brad, I want to thank for the for the comprehensive overview. That was really good, really good update. A couple questions here. I want to start maybe with the Tier 4 equipment. So, as I understand what you just said that you changed your mind. You are not expanding this to a seventh crew, but that is what your plan is, starting in January. So, as it comes out into the field as simply displacing equipment that was already there. Is that what I’m understanding you to say?
Brad Fedora: Yes. Correct. We didn’t change our mind. We just underestimated the difficulty in getting people. And so, we couldn’t staff the seventh crew today.
Andrew Bradford: Great. But you anticipate that you will be staffing a seventh crew in the first quarter. Is that what I heard?
Brad Fedora: Yes. We are at least sort of halfway there already. So, it is good. It allows us to - we haven’t had any issues with COVID or holidays or the hunting season. We are able to operate sort of uninterrupted, because we do have some extra people. And so we are about halfway done on our seventh cruise. So, we are feeling confident that we should be good to go by Jan 1st.
Andrew Bradford: Okay. And just on labor issues. So, as you described some COVID related issues late in the third quarter, I guess, maybe even beginning early in the fourth. Maybe could you describe what kind of protocols you put in to sort of mitigate this impact on yourself going forward? And then like, as you do that, maybe describe what kind of impact that is having on your labor shortage issue, because, even if we look just at the healthcare industry, you might expect that that would be a fairly easy slam dunk in terms of implementing vaccination protocols, but still we are hearing that, people are being dismissed from their jobs and stuff. And I wonder what you are seeing on the oil pipes now?
Brad Fedora: Yes, starting October 15th, so roughly a month-ago we put in a new policy, just in response to things are somewhat getting out of hand, from a COVID positive case perspective, in Alberta. And we were seeing it impacting our field operations. Luckily, we were able to get through it, no problem. But, I think we took the lead in the pressure pumping space. And about a month-ago, we said that effective October 15th, you either have to be fully vaccinated, like two vaccinations. We don’t care which ones they are. You have to be fully vaccinated or you have to provide a test before you show up for your shift. If you work in the field, on your own dime and you have to take the test on your own time. And if you work in the office, you have to provide a test result every Wednesday or something like that. But I mean, the point of this was, there is lots of testing happening on customer locations, but we were having the issue of people were showing up getting on a crew van. And by the time they got to the customer location, we found out, well, some of them are testing positive, but now it is too late. They have been in a crew van with 20 people or so. And so we want to make sure that, before you even show up to our base, you are COVID free, and that will allow us to plan and deal with logistics way better. And we had lots of griping about it. But I can tell you, it didn’t last long. And many, many people in the organization, actually sent us notes saying, thanks. Like, everybody has their issues, whether it is grandparents or children that, they feel are exposed, they don’t want to go to work and get COVID. And so, they were happy to have us for sort of looking lower the hammer on making sure that, we do whatever we can to make sure that when you come to work, one of your safety concerns is not getting COVID from one of your co-workers. So we didn’t have any problems with it at all, we have literally only lost one person that is refusing testing and refusing vaccines. We have 950 people, so we will be just fine.
Andrew Bradford: Okay that is good to hear, thank you. And from your discussion, you said that your clients are -your customers are telling you to expect more demand, you spoke a bit about reactivating spreads. And then do you have the spreads that are available to be reactivated, half of them belong to you. And that this will all require some costs. And I think it will be helpful if you could just sort of maybe just grind out a bit more, you are going to have a seventh spread working in the first quarter and it sounds like you are going to have an eighth much larger spread by the second quarter. Does that sort of fulfill the incremental demand that you are imagining or that your customers are talking about or do you think that there is going to be further reactivations beyond that?
Brad Fedora: Yes the demand, like if you think about 200, drilling rigs, you take out the heavy oil rigs. And there is roughly five rigs per frac crew, like we need 35-ish crews. We are not going to get there as an industry. We have 26, 27 today. And as we are finding, we could even add one, we never experienced this in the past. We are struggling to add one at some take six months to add a seventh crew to our fleet. So there is no way we are going to get there. And that is a good thing, maybe, finally get the price up off the floor from COVID levels, and you don’t have real businesses. So, we are not at all concerned about the fact that we are adding two crews. Stress comes from making sure we can get the people to add to crews. We are fortunate that we can afford all the investments that are required. But as an industry, there is significant capital investment to reactivate equipment, and significant efforts to get the people to run that equipment. And it is going to be very, very difficult to get to 35 crews for next year.
Andrew Bradford: Okay. I wonder if you could then maybe reconcile, for me. This is my understanding as well. But I wonder, if you could reconcile that with the idea that you are seeing your existing customers think that by competitors, which can only really happen, I think if they have windows or if they are trying to secure a new anchor customer or something to that effect. That must mean that they have available space. And I’m trying to reconcile the tightness of the industry with these windows that must exist across the industry?
Brad Fedora: We think about that all the time and because we are having a hard time making sense of exactly that. I think what it is maybe we just have more predictability or our customers or - maybe we are lucky to have the customers that are giving us sort of long-term scheduling, we don’t have a lot of angst over our schedule in January, February already, it is October and already we are sort of blocked for Q1. Whereas if you are a company that doesn’t have long-term customers or customers that don’t give you every month you are fighting to fill your board, even though the board gets filled every time. There is still anxious about that whitespace that is a few weeks out. And then it just drives that kind of pricing behavior to make sure that the board gets filled. If they just had a bit of faith, like do some basic math, and if you may not see it today, but it will get built. I mean, we don’t have the capacity to take on a bunch of work that we don’t already have booked. So it has got to get done. And so I think what is happening is just the anxiousness over the lack of predictability a couple of months out is driving that pricing behavior. I mean, I don’t - that is the best I can do because, we obviously think about this all the time.
Andrew Bradford: Yes, okay. Thank you for that. Last question here, I promise. So you are currently pushing the Tier 4 equipment into the patch, you’ll subtle form of seventh crew in the first quarter, you’ll have another crew, another ESG crew in the second quarter. And you also said though, this will become the industry standard. So for how long do you think that you have this first mover advantage, where a Tier 4 crew is differentiated before it becomes - before Tier 4 crew just becomes called a crew?
Brad Fedora: You probably know this better than I do. A year or 18-months?
Andrew Bradford: 18-months. Okay.
Brad Fedora: I don’t like - I don’t obviously know what our competitors…
Andrew Bradford: If you wanted to do put - let me ask this slightly differently. If you decided that a third crew was a good idea. When would you anticipate being able to put that third crew in the field?
Brad Fedora: It would be late next year, if you had the foresight to plan it with the engine manufacturing.
Andrew Bradford: Okay. [Multiple Speakers] today would be the end of the year and from now. Is that correct?
Brad Fedora: Yes, at least.
Andrew Bradford: Okay. That is all for me. Thank you very much guys.
Brad Fedora: Thanks.
Operator: Our next question comes from Waqar Syed of ATB Capital Markets. Please go ahead.
Waqar Syed: Thank you for taking my question. Brad, with rising service intensity, what are you seeing on the maintenance CapEx per crew or per hostile, any numbers that you can share with us?
Brad Fedora: Yes, I mean, it is generally going up, Todd knows the stuff better than I do, so I maybe hand it over to him.
Todd Thue: It is just the run rate or percentage of expense has not increased substantially just, it is kind of - it floats with the activity of the equipment and the hours as run. So it is inching up slowly but not - it is not taking a giant step up.
Waqar Syed: Would it be something that - would have $3 million per crew on an annual basis?
Brad Fedora: So, what was that? We didn’t quite catch that.
Waqar Syed: Would the maintenance CapEx per crew be around $2.5 million to $3 million annual?
Brad Fedora: Higher.
Scott Matson: Probably a little higher than that Waqar.
Waqar Syed: Okay. And I was excluding the fluid and that you guys expense. So more in to $3 million to $5 million range?
Scott Matson: Yes, I think yes, I think that is how…
Brad Fedora: Yes, and just - a lot of it is obviously dependent on the pressures that you are working on, whatever the customer base that you have. So if you are doing low pressure oil, it might be lower than that. But if you are banging away in the Montney, it is 70 MPA or something like that, then it is going to be five. And it also depends, was that pump built in 2009, or was it built in 2015? So, that is why we are kind of flaky in our answer, because there is so many variables that go into. But if you had to model that has an industry average. I mean, I think you are safe using five million a crew per year.
Waqar Syed: Okay. And then in the U.S. zip book facts of becoming pretty common and be also seeing assignment frac. Are you seeing those trends develop in Canada as well?
Brad Fedora: That is not new. I wouldn’t say it is common. But it is my understanding of what you are saying with the zipper frac warrior. You are fracturing two opposing wellbores, that has been happening for quite some time now.
Waqar Syed: Yes. Then so this quickly would be here in the U.S. I think you won and you both fitting next month while - frac that you are faxing both of at the same time. And then there is two other rows that you are plugging and proliferating, at the same time. So, everything is running...
Brad Fedora: Yes, that was common, yes. You are plumbed in, for lack of a better word the pad as a whole, and so your operations are uninterrupted almost.
Waqar Syed: Right. And you are seeing that in Canada?
Brad Fedora: That would be the norm in the Montney.
Waqar Syed: Alright, okay well. Okay. Good. That is all I have. Thanks very much.
Brad Fedora: Thanks.
Operator: Our next question comes from Cole Pereira of Stifel. Please go ahead.
Cole Pereira: Hey. Good morning, guys. So you are very active with the buyback in the quarter, and obviously you need to continue investing in the fleet. But how do you think about other return of capital avenues, such as a dividend?
Brad Fedora: Yes. We are looking at that. We do have a growing cash balance and we are happy to hold cash. Don’t get me wrong, but there is only so much cash that should be held. And we are not going to discuss maybe the exact levels at this point, but we do feel, we may exceed those sort of internally imposed thresholds by the end of next year. And so certainly, dividend conversations have started to enter into Board discussions. But there is not really anything more to report at this time. There is many things to consider, when you talk about dividends. But we are bullish for this industry for the next few years, for sure.
Cole Pereira: Okay, perfect. That is helpful. Thanks. And I just wondering to confirm as well, so for Q1, you do expect to generate true call it net pricing, and how confident are you that this doesn’t get eroded by a further cost inflation somehow?
Brad Fedora: Wait, it will get eroded it is just a matter of how much. But we do think. Back to the supply and demand of the rig count versus the frac crew count, that is going to get out of whack in Q1. And so, even the people, the companies that have no vision beyond the end of the week, even they will respond with pricing increases. And so, we will finally get these prices lifted off the COVID floor and back to something more reasonable sale. When you look at the pricing today versus even two, three years ago, it is the amount of erosion that has taken place is incredible. It is absolutely incredible. And yet, at the same time, that pumping efficiencies have greatly increased. And so, we just have to stop. We need to start running a business properly here as an industry and I think that will happen in Q1.
Cole Pereira: Okay. Great, that is all for me. I will turn it back. Thanks.
Operator: Our next question comes from Keith Mackey of RBC. Please go ahead.
Keith Mackey: Hey thanks very much and good morning. I just wanted to maybe follow-up on the comment you made about sand logistics being tight, Brad. Is there any more - any more you can say about that? Like, do you see impact or expect sand availability whether it is from transportation or actual production to impact operations over the next call it couple of quarters or is it just a matter of managing the tighter logistics, but things should be okay?
Brad Fedora: The sand supplier, as Greg mentioned the sand supply from out of Wisconsin in the U.S. is approaching maximum levels of what they can produce or ship to Canada. It is probably the planning and logistics part of it. And the transport is an important piece to take out the high demand cycles or try to plan with your customers about reducing the high demand cycles. But there is a higher concentration of activity into Northeast B.C. So there is some limitations to trans loads. And then just, there is only one rail line going in there as well. So, probably near-term, no shortage worries, but longer term definitely needs to be some changes or increase to supply, logistics and transportation.
Keith Mackey: Got it, okay. So is that just on the U.S. sand or could it be substituted with local sand as needed?
Brad Fedora: It certainly could be, that is sometimes the customer preference about which sands type they would want to use in their treatment. So there is adequate Tier 2 sand supply in Western Canada and to fill the void, if there was one. This transportation again, because the location of that has to come from Central Alberta, mainly up into Northeast B.C. There again that requires transportation with us rail or trucking.
Keith Mackey: Got it. Okay, thanks for that. And one more for me just to go back to pricing, don’t want to harp on it too hard. But one of your peers hosted a call this morning and discussed double-digit pricing increases for next year, call it North America wide sounded like maybe Canada didn’t dip as hard in the last couple years as the U.S., so may not increase quite as much to through the next year. But given the shortage that you foresee in Q1, which may perpetuate through the rest of the year, would you have a similar view of pricing, where things will end up throughout next year beyond - maybe just beyond the supply demand imbalance you might see in Q1 or are you now you know, more pessimistic or optimistic about that level of pricing improvement?
Brad Fedora: Well, I hope he actually opens up the books to his Canadian operation and has a look at his pricing. He certainly needs double-digit pricing increases to even compete with the rest of us. So, yes. But as an industry, I would think double-digit price increases are likely by, whether it is Q1 or Q3, it is likely. This is not even a customer resistance issue like this is a frac company issue. I think the price erosion that is occurred, it is incredible. It is 40% in the last couple of years. So if we can all just relax and do some supply and demand work and get more comfortable with where we are going to be, I think that is those kind of price increases would be totally reasonable.
Keith Mackey: Got it. Okay, that is it for me. I will turn it back. Thanks very much.
Operator: [Operator Instructions] Our next question comes from Josef Schachter of Schachter Energy Research. Please go ahead.
Josef Schachter: Good morning Brad and congratulations on the much improved quarter. I have three questions. First one going back to the dividend, which you said it is something you are contemplating with the board in 2022. We saw how you ought to do a special dividend because they didn’t want to handle commitment on a regular basis. Are you looking at special dividends if you are wanting to keep their cash balance or if there is any concern about prospects moving forward in the industry if competitors don’t give for pricing, you need to justify spending more.
Brad Fedora: Yes, like dividend discussions are philosophical in nature. And we understand the issues with service companies paying dividends, and we don’t want to put something in and then have to take it out in a couple years. And that is usually what happens. So when we think about dividends, we think about really low base dividends or special dividends or maybe no dividends. I mean, maybe we up our NCIB activity, and our return to capital comes in that form. It is early days, and we are open to anything, and we are not going to back ourselves into a corner by any means, and get ourselves into a position where we have regrets over what we did and dividends or dividends to me, whether they are regular special it is - I mean, I’m certainly a fan of the special dividends, just to maintain flexibility. But like I said, maybe we allocate the money via the NCIB instead or maybe we find a great deal to do next year. And we don’t do any kind of dividends or NCIB like - we are evaluating all of our options and we will do a lot of thorough analysis and be very thoughtful about what we are going to do. And I can assure you that whatever we decide to do we won’t have regrets over and we will do whatever is best for returns and what is best for the shareholders.
Josef Schachter: Okay. Second question, the eighth crew, frac crew, the Tier 4, that you bringing on in the spring of 2022. You have announced that term lien was customer for the first fleet. Is there one customer for that and second fleet or is it two or three companies that have done it in a consortium to tie it up between them.
Brad Fedora: Yes. We are still - we don’t like to talk about the customers unless we sort of have specific permission from them to discuss it. So, I don’t really want to talk more about that. But the equipment would be for our core customer base.
Josef Schachter: Okay. And just like term lien, I thought it was something to inform the street about because of the ESG improvements. Do you think at some point, these customers would be wanting to also disclose and you are just waiting for them to do that?
Brad Fedora: I don’t want to speak for them.
Josef Schachter: Okay. Last one for me is growth. You mentioned that, there might be something that could be an acquisition. On Slide 3 of your new presentation, you go through the four quadrants drilling cycle, completion cycle, production cycle, full cycle, technical expertise. Are you looking at acquisitions to add on top of your three basic businesses right now or are you looking to grow the three basic businesses?
Brad Fedora: Yes. We are open to any of that. Like, you sort of look at your Board of acquisition opportunities and it is all of the above. There is things you’d like to do within each division and there is a new divisions to add. So, we are not - like there is so many things that go into the evaluation. But, first and foremost, it is return on that investment. So, we are open to any of them.
Josef Schachter: Okay. And if you are looking at acquisitions, would it be also to grab manpower? Would that be something, where if the equipment was decent and you were able to get the manpower, given the manpower shortage, and the question about adding a third Tier 4 unit, would that be something that would fit in the equation?
Brad Fedora: Yes, absolutely. I mean, whether it is consolidation for cost efficiencies, it used to be the sort of the main motivator. And now - not only, you get consolidate - cost efficiencies from the consolidation, getting crews is the material issue now. As long as the equipment is model, it is something for sure we would look at, yes.
Josef Schachter: Super. That is it for me. Thank you very much.
Brad Fedora: Thanks.
Operator: Our next question comes from Aaron MacNeil of TD Securities. Please go ahead.
Aaron MacNeil: Good morning, guys. Thanks for taking my questions. I know it is going a little late today. Brad, just more of a high level question for you. You are one of the early adopters of variable salaries and other sort of small things that big differences to kind of the resiliency of the business. I guess, I’m wondering at a very high level and with consolidation with your customers, is there anything you can do to, in terms of contract structures or things that kind of improve the stability of pricing through the cycle?
Brad Fedora: I wish. Our best opportunity is things like the Tier 4 engine technology, where you are truly adding a valued service that nobody else can add. And the customers understand that it is not common place at this stage, and they understand the value of the service that you are providing. And so, given that, they know what we know, which is, this industry has had no investments and it has been ridden hard and put away wet now for seven years. And so when something good comes along, you better grab it, and you better hold on to it. Because as we all know, LNG prices around the world are looking to be attractive. You know when you actually caring about the environment, you would encourage as much Canadian natural gas activity as possible. So we are really bullish on this industry in Canada for the long-term. And I think our customers, they understand that we are at an odd point, which is all the equipment at the beginning of what is going to be very, very increased demand. And so, we are using new technologies as a way of changing that contract structure. And for the most part, it hasn’t been easy old habits die hard, as we all know, right. So, maybe having to move up the chain a little bit to get people to understand the value in securing equipment long-term. So the short answer is on a general scale, no, but on an certain assets, yes, we were trying to do our best to get away from this sort of, you are only as good as your last well, kind of mentality.
Aaron MacNeil: Understood. All my other questions have been answered. I will leave it there. Thanks.
Brad Fedora: Thanks.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Fedora for any closing remarks.
Brad Fedora: Okay. Thanks, everyone. We appreciate your time and we appreciate you dialed in to listen to us. We will wrap the call up now. But certainly Todd, Scott and I are available for questions throughout today and tomorrow. I think everybody knows how to get a hold of us and we will do our best to make ourselves available. Thanks again.
Operator: This concludes today’s conference call. You may disconnect your lines. Thanks for participating and have a pleasant day.